Operator: Good morning. Welcome to the Willis Towers Watson Fourth Quarter 2019 Earnings Conference Call. Please refer to our website for the press release and supplemental information that was issued earlier today. Today's call is being recorded and will be available for the next three months on our website. Some of the comments in today's call may constitute forward-looking statements within the meaning of the Private Securities Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties. Actual results may differ materially from those discussed today and the company undertakes no obligation to update these statements unless required by law.
John Haley: Thank you very much, and good morning, everyone, and thank you for joining us on our fourth quarter earnings call. With me here today is: Mike Burwell, our Chief Financial Officer; and Rich Keefe, our Head of Investor Relations. Today we'll review our results for the fourth quarter and for the full year ended December 31, 2019. Then we'll provide a brief commentary on the outlook for 2020. So as I look back on the last year, I think that our results were largely positive. We increased revenue, we improved margins and we generated an impressive return for our shareholders. That said, we have more work to do to improve free cash flow and we remain focused on executing against our strategy. So before diving into the fourth quarter results, I'd like to take a moment to update you on some exciting activity that's already occurred this year. Two weeks ago, Willis Towers Watson returned to Davos to participate in the World Economic Forum. Now in our second year as a strategic partner of the World Economic Forum, our delegates convened to address areas of strategic importance to our business, including climate risk, the future of work, inclusion and diversity and cybersecurity. Quite a few members of our delegation led sessions during the week at Davos. I took part in sessions that continue the work of the coalition for climate resilient investment, a cooperative initiative which we introduced last quarter. We also launched a new offering Climate Quantified which helps organizations to quantify how they will be affected by the climate change trajectory and the effects of mitigation with climate adequate and resilient solutions. We also co-sponsored Bloomberg Live: The Year Ahead Davos event where Julie Gebauer Head of Human Capital & Benefits spoke on organizational sustainability. Adam Garrard, our Head of Corporate Risk & Broking in our international geography participated in a session on Advancing Cyber Resilience For Critical Infrastructure. Carl Hess, the Head of Investment Risk and Reinsurance joined the Friends of Ocean Action Community session on increasing the role of the ocean to address some of the United Nation's global sustainable development goals.
Mike Burwell: Thanks, John, and good morning to everyone. Thanks to all of you for joining us. I'd also like to thank our colleagues for all their efforts and our clients for their continued support and trust in us. So, now, let's turn to our financial overview. Let me first discuss income from operations. Income from operations for the fourth quarter was $687 million or 25.5% of revenue, up 570 basis points from the prior year fourth quarter of $470 million, or 19.8% of revenue. Adjusted operating income for the fourth quarter was $809 million, or 30.1% of revenue, up 270 basis points from the prior year of $650 million, or 27.4% of revenue. Income from operations for the full year 2019 was $1.3 billion or 14.7% of revenue, up 520 basis points over the prior year of $809 million or 9.5% of revenue. Adjusted operating income for the full year of 2019 was $1.8 billion or 20.3% of revenue and up 220 basis points from the prior year of $1.5 billion, or 18.1% of revenue. It should be noted that 30 basis points of our margin improvement in fiscal year 2019 was driven by TRANZACT, related to the timing of the purchase. Now let me turn to EPS, or earnings per share. For the fourth quarters of 2019 and 2018, our diluted EPS was $4.18 and $2.89 respectively. For the fourth quarter of 2019, our adjusted EPS was up 23% to $4.90 per share, as compared to $4 per share in the prior year fourth quarter. For the full years 2019 and 2018, diluted EPS was $8.02 and $5.27 respectively. For the full year 2019, adjusted EPS was up 13%, to $10.96 per share versus $9.73 per share in the prior year. Foreign currency caused a decrease in our consolidated revenue of $22 million for the quarter compared to the prior year fourth quarter, with a $0.05 headwind to adjusted diluted earnings per share this quarter. Foreign currency caused a decrease in our consolidated revenue of $192 million for the full year 2019 as compared to the prior year, with a $0.16 headwind to adjusted diluted earnings per share overall for the year.
John Haley: Okay. Thanks Mike. And with that, I'd like to open the call for questions.
Question-and:
Operator:  And our first question comes from the line of Shlomo Rosenbaum from Stifel. Your line is now open.
Shlomo Rosenbaum: Hi. Good morning. Thank you very much for taking my questions. Hey! Mike, you guys are doing such a good job in improving the organic growth rate of the various businesses. But the free cash flow is just really a sore point. And -- could you just comment on, what is exactly the issue? And how should we be thinking about that? What's -- where are you falling so far behind? And how should we think about that for 2020? What changes are happening that are going to kind of impact the company a lot more than what we've seen over the last year?
Mike Burwell: Sure. Thanks for the question, Shlomo. I guess first is, obviously to your point we're working very hard on it. We're not pleased with the outcome, in terms of where we landed for the current year. But here's what we're doing about it. One is that we have tied variable compensation to the top 500 people in the company, to the established goals that we have. And that has been implemented. Equally that's true for the operating committee of the organization. Additionally, we are in the process of implementing a contract management and cash management system to manage contract terms more directly and consistently. And we've established a contracted cash task force with individuals that are 100% dedicated to focus on improved and sustainable performance in the area. So we're very focused on it. I guess is the bottom line.
Shlomo Rosenbaum: And is there any like one specific thing? Is it a matter of just like communication with the customers? Is it -- in other words is, there a few items that you can point to that are saying "Hey! This is just where things are not getting done?"
Mike Burwell: I would tell you, we look at the entirety of the process Shlomo and from top to bottom. So, every area we can see that there's areas for improvement. Obviously, we've made some progress. But we'll look at it as a totality of the process itself. And are not leaving any stones unturned in terms of going after it.
Shlomo Rosenbaum: Okay, great. And then, Hey! John, can you talk a little bit more about what's going on with TRANZACT. You said that, it had better revenue growth than expected. Can you just give us, a little bit more commentary about what you expect from this company over the next year? And the general trends that you're seeing in that business?
John Haley: Yeah. So I think, look Shlomo, when we bought TRANZACT, we expected this to be at least for the short to medium-term, a relatively high-growth business. And we had a business case I think where it was going to grow in excess of 20%. That's the basis, we did the deal on. And we thought there was even a possibility that revenue growth could get to 30% or even 35% in the first year. We actually passed -- surpassed all those; we grew by over 50%. And it has been -- our TRANZACT colleagues have just done a terrific job of gearing up and taking on all these -- this additional revenue. Our Medicare Advantage grew by about 94%, so very good growth there. And what's probably the most important part of that market. We expect that -- we still have this expectation that, we're going to continue to see this to be a high-growth business for the short to medium-term. And even though we have a pretty tough comparable and a base we're building on. We're still expecting to see over 20% growth for the, next several years.
Shlomo Rosenbaum: Okay, great. Okay. There's one, more housekeeping, Mike, what is the currency impact on a dollar basis, expected in 2020? You noted like, $0.10 on the EPS. But if I were to look it on revenue, is there a number you guys have embedded in the guidance?
Mike Burwell: It's very nominal, Shlomo. This is really on expenses. I mean it's really small on revenue.
Shlomo Rosenbaum: Okay, great. Thank you.
Operator: Thank you. Our next question comes from the line of Greg Peters of Raymond James. Your line is now open.
Greg Peters: Good morning. Thank you for taking my questions. First up on organic. For the fourth quarter, you posted some pretty impressive results especially in CRB. And I know you provided guidance for next year around organic. Is there anything unusual to what happened in the fourth quarter? Any specific items you can call out to help us get a sense of why it was so strong?
John Haley: I think our folks really worked hard with clients and delivered in the fourth quarter. I did call out we had some one-time projects in construction and natural resources which were a big help to that. And that's actually the nature of construction and natural resources projects tend to be more episodic than in some of the others. So, we had a couple of those. But frankly Greg when you look at it our growth was really pretty much across the Board. It wasn't like we just had one area that was way ahead of all the others, they all performed I think at the top of what we might have expected.
Greg Peters: Yes. Can I pivot to the guidance on the operating margin for fiscal year 2020, you're guiding to an operating margin of around 20.5% and I think that's just a 20 basis point improvement over 2019. It seems like there's better opportunities especially with the growth you're posting. Can you walk us through why you're not anticipating better margin expansion?
Mike Burwell: Sure Greg. So, as I said in my prepared remarks, when you look at TRANZACT for fiscal year 2019 it really had about a 30 basis points improvement so -- and we had originally targeted being around 20%. And so when you normalize that that gets you more like 20% and then if you looked at 20.5% and we've talked about 50 to 70 basis points on an annual basis in terms of what that improvement would look like, that's really what we're targeting on a normalized basis in terms of thinking about it.
Greg Peters: Got it. That makes sense. And then can we pivot to BDA ex-TRANZACT because it looks like the business slowed down maybe the legacy exchanges business or -- can you give us some color there?
John Haley: Yes. I mean I think BDA is one we've been talking about for a while now that with the tremendous success we've had penetrating that market over the years, there's still opportunities left ,but the opportunities tend to be more a few mega opportunities that are episodic now. And so we're not surprised. The sales cycle on these large ones take some time and we're continuing to work on them. So, we'll see some years where we have a big jump up, but I don't think you're going to see the steady growth because you don't have the same pipeline of clients there. It's one of the reasons why we're really focused now on our technology and operations to make sure we maintain our market leadership as the go-to marketplace for the retiree medical.
Greg Peters: Got it. Listen I realize you're not going to make some announcement regarding management on this conference call, but it feels like when we get to the end of this year, there's going to be some retirements. And can you give us an idea of when you expect the Board and the company to announce when the -- who the next lineup of executives are going to be running some of the businesses?
John Haley: Sure. So, look as -- you're right, we're not in a position to provide any real details right now, but let me tell you this. The Willis Towers Watson Board of Directors, of course, they're the ones who lead the succession process for the role of CEO. And the Board acting through the governance committee is actively engaged in the whole succession planning process. And this isn't something that has happened this year or last year or even just the year before. This has been a multi-year thinking about what our talent is and how we bring them along and how we develop them. And so the Board and the governance committee have been regularly involved in that. They meet with me and our Head of Human Resources on a regular basis. We've engaged a third-party to make sure we have an outside look at the experience and attributes of our candidates. Our expectation is that we will name a new CEO in the second half of this year. So, we're going to make sure we have enough time to allow an orderly transition. But other than that, that's pretty much all I can say at the moment.
Greg Peters: Great. Thanks for your answers John.
Operator: Thank you. Our next question comes from the line of Elyse Greenspan from Wells Fargo. Your line is now open. Pardon me, Elyse Greenspan from Wells Fargo, your line is now open. Please check your mute button.
John Haley: We're not hearing anything. Could we maybe move on and come back to Elyse in a little bit.
Operator: Thank you. Our next question comes from the line of Mark Marcon from Baird. Your line is now open.
Mark Marcon: Good morning. And thanks for taking my questions. First of all, on CRB within North America really good performance, how sustainable is that? And what are the specific areas of strength? And to what extent is – how big could the cyber opportunity be?
John Haley: Yeah. Let me just and Mike may want to weigh in on this. I mean, look the CRB in North America grew I think at 11% in the fourth quarter, 11% is a real big number. But they had very good growth even throughout the year not as high as 11% but still a very good growth throughout the year. I think when you talk to folks in the industry, generally, the middle market in particular in North America is one that people are focused on and it's one of our relative strength. So we feel pretty good about that. I mean, I know when we talked about our projections for this year. There was some question of whether our revenue growth projection is more modest. And what we said was, we prefer to budget on a more modest basis, but we thought we would make sure we grew as fast as the market or faster. And I think we've delivered on that. And that's pretty much the expectation, I think we have going forward. I think cyber is something, where there is fantastic opportunity long run. I think that's going to require the market developing the right kind of policies and the right kind of solutions for clients. I don't think the market is there yet, but I think we're moving towards that. And as we do, it'll be a tremendous opportunity.
Mark Marcon: Great. And then when we take a look at the overall guidance for 2020 in terms of the 4% to 5% organic growth, you mentioned TRANZACT should continue to grow at least 20% plus year-over-year. So that will drive that segment. For the other segments, are we taking the same sort of general stance in terms of generally assuming 4% to 5% growth for each of those and then we'll lock it up as the year goes on, or how should we think about that?
John Haley: Yeah. No. We – look we – obviously, we don't disclose our – we don't get into all the details of how we do it. But Mark, when we build our overall growth for the company we do it segment by segment almost line of business by line of business. So we go through and we do think for example, I mean and just as one clear thing, CRB is going to grow faster than Retirement. We just pretty much know that. So we build the models that way but – and then we just give a revenue growth for the company.
Mark Marcon: Terrific. And then a question for Mike. Just on the free cash flow. Can you disaggregate the impact of TRANZACT relative to the DSOs? And what the major source of improvement for next year is going to be in terms of whether it's TRANZACT normalizing or the goal for DSOs?
Mike Burwell: Yeah. So Mark, as it relates to TRANZACT, I mean, when we looked at TRANZACT we originally did the diligence and understood TRANZACT. With the revenue growth rates it was having we knew there will be some level of cash implications to it or a drag, if you will, but it was minor. But given the growth rates that we had it turned a bit more significant because of the build of what we had to do for across the Board and in licensed agents, investments, et cetera to make sure that we could satisfy what we saw as the market demand. And our team there I think did a wonderful job in making sure that they were well positioned to be able to take advantage of that growth. So I think that's the one issue as it relates to TRANZACT. I think as it relates to our receivables we just saw it build a bit more. And as I said earlier, I was really looking at the – from contracting and how we set up the contracts to ultimately how we collect that cash. So contracted cash from a process standpoint we're very focused on it. So we did see that receivables build. And so we're very focused on improving that going forward. So hopefully that gives you some further insight.
John Haley: Yeah. And maybe I could just mention that Mark when you – when we think about this we had the – we had TRANZACT and as Mike said when we first did it we had the deal cost for TRANZACT and we knew we would have some sort of impact just from financing the growth there. We thought well we're not going to bother updating our forecast for that. It turned out the growth was bigger than we expected and it became a more sizable number as a result of that. I think the tax payments were a surprise to us the cash tax payments being than what we had projected. And that's one of the things that I think Mike has done a good job of putting in a much better forecasting system for this coming year so that we won't have those kind of surprises, but that – a better forecasting system, which we needed because clearly we missed some things. And then also we were focused on improving our cash collection, but we were focused on improving it without having the right kind of incentives built in to our whole compensation system. And the fact that, we're now building these right kind of incentives and I think some very significant incentives into improving our cash collection gives us a lot more confidence going into this year.
Mark Marcon: Thank you very much. I appreciate the long-term efficacy of your incentive planning. It always work. Thanks.
John Haley: Thanks.
Operator: Thank you. Our next question comes from the line of Suneet Kamath from Citi. Your line is now open.
Suneet Kamath: Thanks. I just wanted to go back to the free cash flow for a second. Just -- I think last quarter you guys were pretty optimistic about the $1.1 billion to $1.2 billion and obviously as you said came in below that. So -- and maybe just to answer it but I just want to clarify I mean what was the surprise? Was it the cash taxes or was it TRANZACT? Obviously something happened just towards the end of the year and I just want to make sure I'm clear on what that was?
John Haley: Yeah. I mean, I think we actually lowered our cash forecast last year from the $1.1 billion to $1.2 billion down to what $900 million to $1.1 billion we had said it would be. So we -- excuse me. We kept -- we said $1.1 billion to $1.2 billion. Okay lovely. We were concerned about where it would come I guess anyway. But the -- look we had -- the TRANZACT was bigger than we thought. We had the cash taxes and the cash taxes were about $130 million higher. And so we knew that was going to be weighing on us to begin with. And then we had the decline in receivables though was something that we did not expect. But that was something that was a surprise to us.
Mike Burwell: And I would only add to your comments John. I mean, we always know the fourth quarter is an outsized quarter for us just in terms of timing. So when we sat there at the end of the third quarter, we knew exactly where we had stood. We knew what we had done in the prior year fourth quarter. These couple of points that John just raised influenced it. But frankly we were worried about working capital build. And that's why we took the guidance down at the end of the third quarter. And in fact that's what we saw actually really build in receivables. And so that's really the -- one of the improvements that we're looking at is really driving that improvement in working capital. Obviously the driver is coming back to free cash flow. We've seen some reduction in CapEx. We, obviously, know operating income is a big driver of it. And obviously working capital and that's the area that from a process standpoint again go back to from contracting to make sure we are looking at our terms at the beginning until the ultimate cash collection process is really where we're going. And as John referenced, I would not underestimate what this means going forward in terms of the incentives we put in place -- are putting in place throughout the organization.
Suneet Kamath: Makes sense. And I guess if we look at 2020 your cash flow guidance would imply something like I don't know high-teens growth in free cash flow. Are you still guiding to longer term that growth rate to be around 15%?
John Haley: Well, we're sort of laser focused on what we're going to do for next year right now. But I would say if you look at us where we're growing our guidance of $1 billion is after we anticipate paying the Stanford settlement too. So it's closer to a 30% to 35% growth in free cash flow.
Suneet Kamath: Got it. And then just lastly on the capital management or capital return outlook for 2020. I'm assuming you're going to continue to target double-digit growth in dividends. But any color in terms of what you're expecting for share repurchases?
Mike Burwell: Yeah. So as you know given the acquisition of TRANZACT, last year we really had nominal share repurchases, which were really just to manage so that we weren't dilutive as it relates to our employee benefit programs and we would anticipate doing that again as we think about 2020. Additionally when you look at our dividend payments, $350 million to $370 million kind of range that are there. And then equally then you got to look at it and say we've committed to paying our debt down related to TRANZACT as I referenced. If you look at our current debt-to-EBITDA ratios, we're more in the 2.4% range and we're looking to get closer to 2.0%. So that will really be where we're looking to deploy capital at least as we look at 2020.
Suneet Kamath: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Elyse Greenspan from Wells Fargo. Your line is now open.
Elyse Greenspan: Thank you. Good morning. My first question going back to the margin discussion, I understand from one of the earlier questions you pointed to kind of neutralizing for TRANZACT right and then still being within that 50% to 70% target. But I guess I'm more thinking about the segments and just conceptually maybe you don't want to guide to a certain level. But I thought the goal was to improve CRB? I know there's a delta between where you guys are and where some of your peers are running in their brokerage business. So does like -- does this operating margin guide assume that there is going to be underlying margin improvement in CRB and perhaps also in IRR HCB and it's just offset by the accounting impact of when that TRANZACT deal comes on?
John Haley: Well, I mean I think -- so Elyse just like we do the revenue growth in response to Mark Marcon's question I was saying, we project our revenue growth line of business by line of business and then build that up to company here and the revenue growth is not the same across all of them. We project our margin line of business by line of business. And certainly we see more opportunities for margin improvement in CRB where we're trailing some of our peers in terms of what we have been saying, retirement where we're ahead of our peers. So those are reflected in our projections, yes.
Elyse Greenspan: Okay, great. And then, as we think about free cash flow for 2020, I just kind of want to understand the seasonality. I'm not sure if you guys have a sense of the timing of the Stanford litigation? And I know typically cash flow is weak in the first quarter? And then also is there any seasonalities that guide? And then another part of that question would be does the 2020 free cash flow guide imply that a pretty sure TRANZACT is negative from a free cash flow perspective? Does it take that drag into account?
John Haley: It does take the TRANZACT drag into account. So, I start with that. I think Stanford, it seems like it's at a place where we should be able to pay up. But we've thought for a couple of years now we would be able to pay it, and the court system drags things on longer than we had thought. We don't have a particular time when we're estimating it during the year. But we will alert you when we've made the payment. And then, clearly there's a lot of seasonality. Our cash flow is highly skewed towards the second half of the year. We have tax payments tend to come in the first quarter. We have our bonus payments in the first or second quarter. And so, we have a lot of cash strain in the beginning of the year.
Elyse Greenspan: Okay, that's helpful. And my last question is on leverage. You guys have obviously been managing down your leverage and to close the TRANZACT acquisition. Does the -- I just kind of want to get a sense of the interest expense expected with the guide? Does it -- are you going to pay down more of your leverage as we move through 2020?
Mike Burwell: Yeah. So Elyse, the game plan is to do that. And we're looking to do that as part of our capital deployment. So you should continue to see. And as you've seen us do from the third quarter to the fourth quarter in terms of that reduction, you're going to continue to see that over the first half of 2020 in terms of us really addressing that outstanding balance, which will obviously have the corollary effect to interest expense.
Elyse Greenspan: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Yaron Kinar from Goldman Sachs. Your line is now open.
Yaron Kinar: Good morning. A couple more on free cash flow. First the TRANZACT, considering that it is a -- still in start up mode still growing very rapidly. How long do you see that as being a cash drag for the business?
Mike Burwell: I mean, we continue to see is -- with those kinds of growth rates that are there Yaron which we projected out over the next four to five years, we're continuing to see that. But we only -- look from a cash standpoint, we only see it about a year out in terms of -- so with growth rates, we see over the five years we really see the cash side of that equation really starting to go only a year or so in terms of its drag on cash.
Yaron Kinar: Okay. And then, on the DSO side and maybe coming back to the seasonality question earlier, I would think that a lot of the contracts got renewed at the very end of the year or the very beginning of the year. So, I would think that a lot of the contract changes in language with regards to DSO would be in place by the first quarter of 2020. And the variable comp adjustment that you've made is also probably in place already. Shouldn't there be a little bit of an offset to the regular seasonality just by a lift from DSO in the first quarter?
Mike Burwell: Yeah. I mean we've got a lot of factors in that first quarter. As you rightly said, I mean we were tacking all the contractual terms that we have to be in place. We're aligning it from a variable compensation standpoint. But we also have the bonus payments. We have tax payments and those amounts that come in there. And candidly, we're looking to make sure we meet what we're saying we've put out there in terms of expectations around. So, that's the game plan. I understand what the logic where you're going, but we see the first half of the year being more of a use of cash and really see it, and if you look back historically in the company you really see it build over the second half of the year with the fourth quarter being outsized in terms of cash coming in.
John Haley: And I would just point out that the changes to the variable compensation plan, which are -- I mean we've discussed with the Board and the comp committee, they won't be formally put in place until the end of this month at our Board meeting, but we've discussed making these changes with them. So, we'll have those in there, but they weren't in last year. And so, we'll see the impact from them in this year. But I would hesitate to ascribe any effect to them from last year.
Yaron Kinar: Okay. And then, my other question is just going to the HCB margins. I think if we adjust out the accounting catch up the ASC 606, margins actually declined by about 50 basis points year-over-year in this quarter. So a, is my math roughly right? And b, if it is what caused that decline considering that organic growth was actually up?
Mike Burwell: Yeah. I mean your calculation -- your math calculation seems maybe a little high just in terms of how you calculate it. We didn't have it quite that way. So, it may be a flat to slight decline really is kind of how we've looked at it, Yaron. So, that would be our thoughts in terms of the numbers just to give you that feedback.
Yaron Kinar: And what would have caused that decline?
John Haley: Well, there is a bit of a portfolio shift. Retirement which is the most profitable is growing slower than some of the others.
Yaron Kinar: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Mark Hughes from SunTrust. Your line is now open.
Mark Hughes: Yeah. Thank you. Good morning. Has there been any change in your write-off of receivables? Any change in bad debt trends?
Mike Burwell: No. Actually we've been going after that. So it hasn't been if anything we've been really making progress on collecting some of the older stuff that we've had in terms of dealing with it, so no, no change in policy, no accounting change and nothing that way.
Mark Hughes: Is it fair to think that the faster organic growth in the cash drag it's just really two sides of the same coin that you're you've got more receivables in the business, because you're growing the top line faster. Does that make sense?
Mike Burwell: Yeah. I mean, you look at it on a year-over-year basis. I mean at the beginning of December 2018 and how it rolled into January of 2019 in comparison to December of 2019 and how it rolls into 2020, there's definitely some element of that. And so it's difficult to absolutely quantify it. But I think to your point, yes, I think that there's some portion of that.
Mark Hughes: And then finally IRR, you really had an acceleration this quarter especially thinking relative to Q3, how much of that carries over into 2020?
Mike Burwell: Yes. There's definitely multi-year arrangements that are included in there and there is definitely an impact that's there. But the other thing, I guess, I'd just point out our Reinsurance business in particular was very strong as well as our Investment business as John commented in his opening comments there. I mean, overall -- so yes, there is some impact to that.
John Haley: But I mean I think if you think back to a year or two ago when particularly Insurance, Consulting and Technology Investments were slow growing and we said we thought we like the future outlook for them. And I think we're seeing that come to fruition this year. So we like where they were positioned in 2019. We feel good about them going forward. I'm not sure they're going to grow as fast as they did in the quarter of 2019. But we like our positioning and we like our growth prospects there. And I think we feel the same way about Reinsurance. Look the whole Reinsurance market was very positive. We're very strong in the fourth quarter. We think we grew as fast as anybody else or faster. And so we feel good about that. And we think we'll perform well against the market in the future.
Mark Hughes: Thank you.
Operator: Our next question comes from the line of Meyer Shields from KBW. Your line is now open.
Meyer Shields : Great. Thanks. I was hoping to start with some maybe guidance on how much margin headwind you expect in 2020 from the inclusion of TRANZACT, I guess earlier quarters?
John Haley: So we think that's probably about what 1% or something like that?
Mike Burwell: Yeah. Yeah. Yes 1%.
John Haley: 1%.
Meyer Shields : So 1% margin drag?
Mike Burwell: Yeah.
John Haley: Yeah.
Mike Burwell: Yeah. Just a reminder back -- remember we acquired TRANZACT in July of 2019, right? And you go back from that acquisition you had five months of revenue and five months of expense. Obviously, we're going to have it for a full year as we look into 2020.
Meyer Shields: Right. Now I understand and I'm thinking that that's actually very good news because it implies better underlying margin expansion. Can you give us a sense in terms of the nonrecurring CRB items in the fourth quarter just magnitude?
Mike Burwell: Yes, we really don't disclose the individual deals or the -- those particular aspects to it.
John Haley: And then the problem with doing that too is there -- when there's a couple of notable ones we note them. They say, oh, those are big ones, but there might be a lot of other smaller ones and we just don't have a system aggregating them.
Meyer Shields: Yeah. That make sense. All right. Thanks so much.
John Haley: Thanks.
Operator: Thank you. Our next question comes from the line of Mike Zaremski from Crédit Suisse. Your line is now open. 
Mike Zaremski: Hey, good morning. I guess starting with a question on free cash flow. Our pension cash contributions or maybe CapEx are those slight year-over-year headwinds?
Mike Burwell: No, no we don't see that way. As we look at next year we don't see that Mike. No. We see them in a reasonable...
John Haley: About the same, yes.
Mike Burwell: Same, yes.
Mike Zaremski: Okay. And if I just think about the organic growth outlook would you kind of categorize organic growth is kind of being more of a tailwind in recent quarters and kind of going into 2020? And also remind us will TRANZACT's growth eventually move into the calculation in the back half of 2020?
Mike Burwell: Yes. So starting with your last question first. Yes, TRANZACT, I mean as soon as we get to same-store sales then we will include it in there from an organic growth standpoint. In terms of your question about tailwinds on organic growth, yes in certain of our business if you look at -- we've seen some pricing. So if you look back to our marketplace realities report that we put out most recent one in November 2019 you definitely continue to see price in the marketplace continues to be a tailwind, but equally obviously we got to do the right thing for our customers and clients and thinking through that. But we have seen some pricing tailwind come through that. And if you look at our organic growth rates we've been right at the market and we look at our peers in terms of what we've been growing at. So when we put out there for organic growth rate for the current year we had 4% to 5% and we build our budgets and we've been pretty consistent around it looking at 4% in terms of how we're more skewed that way in terms of how we think about it. But we're being realistic in recognizing the tailwinds that we see out there. So that's why we went with 4% and 5%.
John Haley: Yes. And the only other thing I'd add to that is that pricing is only one part of the equation for us in the revenue because as prices go up people buy less of it. And so it's the net that is what we're trying to solve for.
Mike Zaremski: And I guess, just lastly to follow up to that. Can you remind us what roughly of your -- on the insurance side of the business the breakdown of commission versus fee?
Mike Burwell: Yes. Mike we really haven't disclosed that. So I appreciate the question, but we really haven't given that information.
Operator: Thank you. Our next question comes from the line of Paul Newsome from Piper Sandler. Your line is now open. 
Paul Newsome: Good morning. Just one question left. Does the cash flow change that we had in 2019 and I guess perhaps here in 2020, does that have an impact on the speed at which you're going to be deleveraging the -- over the course of this year?
Mike Burwell: Yes. I mean what -- in a sense that -- we kind of know where the patterns have been I guess we said a couple -- responding to a couple of earlier questions. In that, we obviously pay bonuses -- cash bonuses. At the end of the first quarter, we have tax payments. We have some real outflows of cash. But then we start to see a build through the rest of the year. And the intent is obviously to really deal with that term loan that's out there over the first half of the year or by the end of the second quarter.
Paul Newsome: Okay. So the term loan should be done by the end of this -- hopefully by the end of the first year?
Mike Burwell: Yes. It's a one-year term loan. So...
Paul Newsome: Got it. Appreciate it. Thank you very much.
Mike Burwell: No problem.
Operator: Thank you. Our next question comes from the line of Brian Meredith from UBS. Your line is now open.
Brian Meredith: Yeah. Thanks. I just have one or two quick ones here left. One just curious, if I look at the TRANZACT margins and just the impact on margins overall, if I kind of look at on a pro forma basis, is TRANZACT assuming you have a full year 2020 and it was full year 2019, is it accretive to the BDA margins and overall company margins, or is it kind of dilutive or in line? I understand that the pressure exist from timing perspective, how it's going to hurt 2020?
Mike Burwell: Yeah. So when we look at the full-year, it will be accretive overall. Again, just going back, when you look at and we talked about this in terms of where the margins ended up in the fourth quarter, we're actually down for BDA overall. And that being down was although TRANZACT has very good margins and we're very pleased with their margins, but you only had five months of expenses and five months of revenue that was included in there. And so the margin was a bit higher and we've normalized that as we think about fiscal year 2020. But to your first question, it is absolutely accretive and we're very excited about -- with that growth and what we're going to see.
John Haley: But accretive but lower percentage margins.
Mike Burwell: Margins.
John Haley: So the TRANZACT margins, when we bring TRANZACT in, it adds to the dollars of earnings we have, but it's a lower percentage.
Brian Meredith: Okay. So it's a lower operating margin percentage. I got you.
John Haley: Exactly.
Brian Meredith: Yes. Got you. And I was wondering if there's any difference like seasonality of TRANZACT versus the rest of your BDA business?
John Haley: Not that different compared to our regular exchange business. Our regular exchange business is a little less seasonal than TRANZACT but not...
Mike Burwell: Not that much.
John Haley: World's apart.
Brian Meredith: Okay. That's helpful. And lastly, I just want to follow-up on Mike's question. Just want to confirm here that in your guidance, you have nothing assumed for kind of improving organic revenue growth in IRR business or the brokerage business CRB business for pricing in the commercialized marketplace?
John Haley: Well, yes, we do. We do have something in there.
Mike Burwell: Yes.
Brian Meredith: And how much roughly? And is it consistent with...
John Haley: We don't go into -- we don't do that. We're saying we want to do things by line of business in this segment.
Mike Burwell: And that's how we build it up, but that's not how we...
John Haley: Yeah, we build it up. And that was an answer I made to an earlier question. We do build up our things by differentially by segment in terms of revenue growth and in terms of margins. So it's -- that's clearly impacted.
Brian Meredith: Got you. Got you. Very helpful. Thank you. Appreciate it.
Operator: Thank you. At this time, I'm showing no further questions. I would like to turn the call back over to John Haley for closing remarks.
John Haley: Okay. Thanks everyone for joining us this morning and I look forward to seeing all of you in March.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.